Operator: Good afternoon everyone and thank you for participating in today’s conference call to discuss Iteris’ Financial Results for its Fiscal First Quarter ended June 30, 2013. Joining us today are Iteris’ President and CEO, Mr. Abbas Mohaddes; and the President and CFO, Mr. Jim Miele. Following their remarks, we’ll open the call for your questions. Before we continue, we would like to remind all participants that during the course of this call, we may make forward-looking statements regarding future events or the future performance of the Company, which are based on current information are subject to change and are not guarantees of future performance. Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ substantially from what is discussed today, and no one should assume that at a later today the Company’s performance from today will still be valid. Iteris refers you to the documents that the Company filed from time-to-time with the SEC. Specifically, the Company’s most recent Form 10-K, 10-Q, and 8-K, which contain and identify important Risk Factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. I would like to remind everyone that a webcast of replay of today’s call will be available via the Investors section of the Company’s website at www.iteris.com. Now I’d like to turn the call over to Iteris’ President and CEO, Mr. Abbas Mohaddes. Please go ahead, sir.
Abbas Mohaddes: Thank you, Lilly, and good afternoon everyone. As you saw at the close of the market today, we issued a press release announcing the financial results of our fiscal third quarter ended June 30, 2013. Revenue growth in our first quarter on both at sequential and year ago comparative basis demonstrate the strengthening demand for our core Roadway Sensors products, and Transportation Systems services. These results, which help drive a profitable bottom line despite our accelerated investment in iPerform as a result of an expanding traffic management market and the strategy we laid out in fiscal year 2013. During the quarter, the investment in our iPerform performance management suite, particularly our flagship traffic analytics product, iPeMS produced a technological breakthrough. This breakthrough is a newly released upgrade that now allows users to seamlessly ingest and analyze traffic data from multiple data providers on a plug-and-play basis alleviating the need for costly and time-consuming custom integration. This unique capability is representative of several innovations we have under development that will help drive iPerform’s position in the market and accelerate the growth of this segment. This milestone along with other future milestone that I will discuss later in my remarks, will be a way to measure our progress in this segment, as we work towards supplementing our core consulting and product segments, while enhancing the overall profitability of our business. But before going into further details about the quarter and our outflows, I would like to turn the call over to our CFO, Jim Miele, who will take us through the details of our financial results. Afterwards, I’ll return to discuss more of the highlights for the quarter and how we plan to build shareholder value as we moved through our fiscal year 2014 and beyond. Finally, we will open the call for your questions. Jim?
James S. Miele: Thanks, Abbas and good afternoon everyone and thank you again for joining us today. For the fiscal quarter ended June 30, 2013, total revenues increased 4% to $17 million, compared to $16.3 million in the year ago quarter. The increase in revenues was primarily attributed to a 5% increase in both Roadway Sensors and Transportation Systems revenues. As part of an internal reorganization during the first quarter, our weather-related Management Decision Support Services, historically included in the Transportation Systems segment were reassigned to the iPerform segment to better align our predictive weather and traffic capabilities, resources, and initiatives. Therefore, prior-year segment information, which was provided in today’s press release, is restated to reflect the reassignment of approximately $481,000 in revenues from Transportation Systems to iPerform. As there are different characteristics affecting each of our revenue streams and various attributes affecting our financial results, Abbas will provide more detail regarding our total revenues later in his comments. Gross margin in the first quarter was 39.5%, compared to 38.4% in the year ago quarter. The 110 basis point increase was primarily as a result of higher margins in transportation system, some improved labor utilization on projects. We recognized a portion of our Transportation Systems revenues and related to gross profit using the percentage of completion contract accounting method and the underlying mix of contract activity affects the related gross profit recognized in any given period. Roadway Sensors margins were approximately 51% and we’re consistent with the margins in the year ago quarter. Roadway Sensors gross margin can fluctuate in any specific quarter or year based on among other factors, customer and product mix, competitive pricing requirement, product warranty cost and provisions for excess and en suite inventories as well as shifts of engineering resources from development activities to sustaining activity, which we record as a cost of goods sold. Although, healthy at roughly 35% the iPerform gross margin was down slightly from the year ago period. The iPerform gross margin is impacted by factors similar to those in transportation systems. Operating expenses increased 13% during the first quarter to $6.1 million, compared to $5.4 million in the same year ago quarter. The increase was primarily due to a rise in the fair value of contingent acquisition consideration of $334.000. Higher sales and marketing activities in Roadway Sensors and iPerform had an increase in research and development expenses associated with iPerform. In fact, we invested approximately $484,000 on iPerform research development in sales and marketing, compared to $235,000 in the same year ago quarter. Income from continuing operations was $430,000 or $0.01 per share in the first quarter of 2014, compared to income from continuing operations of $589,000 or $0.02 per share in the year ago quarter. Net income in the first quarter was $460,000 or $0.01 per share, compared to $676,000 or $0.02 per share in the year ago quarter. Net income in the first quarter included the continuation of our accelerated investment base in iPerform, which we announced at the end of our fiscal 2013. In addition, both income from continuing operation, the net income in the year ago quarter benefited from the aforementioned $334,000 positive adjustment related to the change in fair value of contingent acquisition consideration. Net of this adjustment, income from continuing operations increased 69% year-over-year, despite a significant increase investment to fund iPerform R&D. Cash at June 30, 2013 was $19.1 million, compared to the same $19.1 million at March 31, 2013 and we continue to carry no debt. Also during the first quarter, we repurchased approximately 175,000 shares of our common stock for $303,000, bringing the total to approximately 2.3 million shares, since we initiated a series of share repurchase programs in August 2011. As of June 2013, we have repurchased approximately 6.5 million worth of shares under this program and have approximately $783,000 and funds remaining under the current plan. Total backlog at the end of the first quarter was $34.2 million, compared to $38.6 million in the prior quarter and $36.5 million in the same year ago quarter. Backlog was comprised of $26.1 million from Transportation Systems, $4.9 million from iPerform and $3.2 million from Roadway Sensors. Subsequent to the end of our first quarter, we signed a six year contract with Serco to operate Virginia transportation operation centers; specifically Iteris will provide general engineering and traffic operation services at two of VDOTs regional traffic centers. The operational component is valued at $6.6 million with the general engineering services component to potentially provide an additional $6 million to $8 million. With this contract and over $4 million of other contracts signed subsequent to June 30, we’ve returned to an environment where backlog has exceeded our current revenue burn rate. This concludes my prepared remarks on the financials. Now I’d like to turn the call back to Abbas, who will discuss the quarter, as well as our strategy for the rest of fiscal 2014 in greater detail. Abbas?
Abbas Mohaddes: Jim, thank you very much. As I indicated in my opening remarks, revenues were up both year-over-year and sequentially. Our core Transportation Systems and Roadway Sensors segment remain on track with our internal growth plan and generated the operating income and cash flow necessary to fuel our continued investment in iPerform. Although, operating income was down year-over-year, due to our investment in iPerform, it increased sequentially despite an ever greater investment in iPerform during our first quarter. We continue to be confident in our market and believe the overall application of technology and transportation is gaining traction, particularly in the area of traffic management information. Before I speak more about our outlook, I would like to discuss our operating segment in more detail. Within Roadway Sensors, sales are up 5% over the same quarter last year and 16% sequentially due to traction income of our key product such as our Vector, which is a video and radar hybrid product, as well as a healthier market condition primarily in California and Florida. We are the leader in this strong growing market and continue to take share. We continue to invest in our international markets and made several new distribution agreements during the quarter in South America and Middle East. Our Transportation Systems 511 sales were up 5% during the quarter, primarily due to expanded contracts in our Eastern region. We continue to believe our Transportation Systems 511 business is well positioned to capitalize on the Federal Highway Bill. The request for proposals from various agencies due to the bill continued to expand and as we have indicated before, we believe we will be a direct beneficiary of the bill. In fact, the VDOT announcement we made last week is a prime example; our VDOT award that stands for a strong support for Virginia’s Transportation Networks as we currently operate and maintain the Commonwealth award-winning 511 traveler information systems. There are several other opportunities that we are either in the process of submitting our bids or tracking the RFPs to be published, which we expect in the upcoming quarters. Moving on to our performance management segment or iPerform; we continue to make solid progress in the quarter achieving one major milestone on bolstering our team of professionals. At the end of Q1, our iPerform Group consisted of 57 employees, this compares to only 12 employees with the purchase of BTS nearly 18 months ago. As Jim mentioned earlier, the Group also now includes our weather forecasting team, which added 30 employees. As we have discussed iPerform was established in 2011 and provides a new generation of intelligent traffic and weather related information solutions. These solutions bring the power of Big Data to predicting traffic conditions and delivering actionable information to both the public and commercial marketplace. The segment initial product IterisPeMS or iPeMS, is the state-of-the-art information management software suite that utilizes a wide range of data resources and analytical technique to determine current and future traffic pattern. Permitting the effective performance and outlook to the management of traffic infrastructure resources, late in fiscal year 2013, we announce the beginning of an 18 months period of increased investment in iPerform. We’ve made this commitment due to our belief that the market for traffic analytics is expanding dramatically. Our deep knowledge of traffic engineering and weather forecasting, our experienced managing traffic measurements on a massive scale, and our state-of-the-art analytical capabilities should position us to put complex Big Data for work, enabling our customers to predict and solve real-time traffic management problem. The expansion of iPerform reflects our broadening focus beyond the public sector to a wider market that should benefit from our information-based products and services. iPerform’s recurring revenue model is expected to supplement our consulting and product businesses and augment to overall profitability of our organization. We currently offer iPeMS as both a license and software as a service offering. By increasing investment in both technical and market development, we are focused on expanding the scope of iPerform public sector solution into the commercial marketplace. We continue to experience significant customer demand and have identified a number of commercial opportunities in the media, automotive and mobile application markets. Our team has already secured the commercial partner and we are in discussion with several others. We plan to fund this investment to internally generated cash flow from our Roadway Sensors and Transportation Systems operating segments, as well as revenues from iPerform. It is also important to note that we have been and expect to remain profitable during these 18 months period of investment. During our first fiscal year quarter, we achieved a significant product milestone in iPerform. We released an upgrade to iPeMS, which allows users to seamlessly ingest and analyze traffic data from multiple third-party data providers on a plug-and-play basis, alleviating the need for costly and time consuming custom integrations. This upgrade also provides the ability to display third-party data, real-time sensor information and historical traffic data archive unmapped to have sensor data visualization tool. These are just a few of the reasons we believe this product has a unique competitive advantage. For example most software such as Google Map can provide travel information and routing in real-time, our iPeMS solution allows agencies and customers to analyze both historic and real-time information via dynamic visualization tools and report using data from multiple sources. This includes fixed road sensors, third-party data, historic dataset and real-time traffic information. Today’s transportation markets require innovative, technological solutions like iPeMS, which go beyond monitoring travel time and a traditional red-yellow-green light paradigm to provide operators with the information they need to make actionable decisions for the traffic network. To this end, we have several additional innovations on the development that will help drive iPerform market-leading position and accelerate the growth of this segment. The key feature releases that investors should track in the next few quarters include a robust graphical-user-interface, the integration of (inaudible) and historical road and weather condition, Arterial Performance measurement capabilities and a statistical predictive analytics for traffic roads and weather condition. As the market demand for better informational and analytics tools continue to expand, we believe the investments we are making today will highlight Iteris as the door to market leader. We expedite iPerform’s recurring revenue model to supplement our core consulting and product segment, while enhancing the overall profitability of our business. Now before I provide my closing remarks, we will be delighted to respond to your question and comments. Lilly?
Operator: Thank you, sir. We will now begin the question-and-answer session (Operator Instructions). Our first question comes from the line of Jeff Van Sinderen with B. Riley & Company. Please go ahead, sir.
Jeff Van Sinderen: Yes, hi. Abbas, maybe you can update us on the progress you’re making toward partnerships and alliances for iPerform. I think you mentioned one commercial partner there. And then maybe you can just talk about anything new in terms of how you’re approaching, investing in iPerform?
Abbas Mohaddes: Yes, thank you, Mr. Van Sinderen. We have been now secured a contract that we have not announced as yet because of competitive reasons and clients requests that we are providing iPeMS solution derivatives to them. And what we have done this first quarter aligned with our announcements back in fiscal 2013 of increased investment is that there are several R&D tracks that we are pursuing, some of which I indicated like the Arterials information, as well as the graphical-user interface, the one that we just completed with a third-party data ingestion and then of course our predictive weather and traffic information. These are different tracks that we are pursuing. We have added several software engineers over the last couple of quarters and tracking the milestones, while we are developing the business meeting that they have perspectives of partners and customers that we could work with. I’m happy to report that it is progressing quite nicely. I would envision that we continue that increase during the quarter that we are in and looking forward to the opportunity to inform the investors as we forge these partnerships that we could announce and also of course on our milestone reaching the technical breakthroughs as we go forward.
Jeff Van Sinderen: Okay. So it sounds to me like it would be fair to say that the iPerform segment of your business and everything you’re working towards there is pretty much on track is that right?
Abbas Mohaddes: That’s correct. We are on track according to the business plan that we have provided. It’s an 18 month expanded investment in R&D until the marketing that we just completed the first quarter of that. And we basically have five quarters to continue this intense investment and I’m pleased to have that so far.
Jeff Van Sinderen: Okay, great. And then I think you’ve mentioned, you broke out a little bit in terms of the Virginia contract and some of that being derived from the Federal Highway Bill, maybe you can just expand on that a little bit, so we can understand a little better?
Abbas Mohaddes: Yes. There are several RFPs that we have seen ever since perhaps beginning to mid quarter that are either partially or fully funded via Federal Highway Bill and VDOT is an example of that. We are actually at the moment pursuing several others that either fully or partially funded by Federal Highway Bill. So we are now seeing more expanded funding floating into the marketplace from the Highway Bill. I should point out at this juncture that bill is funded to another slightly over a year or two, I believe it was through September 2014 calendar. So there are incentives to extend that the fund and now it is being accelerated, but we are quite pleased to see that.
Jeff Van Sinderen: Okay, good. And then I think you mentioned as well that you thought there would be other similar types of contracts. I’m not sure order of magnitude, but it sounds to me like the (inaudible) if you will for the Federal Highway Bill is really starting to open and you’re starting to see that blow into your backlog, is that fair?
Abbas Mohaddes: That is fair assessment. And that’s part of the reason that, we are quite optimistic for that particular segment and also if history is a good testimony bills we would see that perhaps the consulting components that become the initial beneficiary and then as these plans getting to this design, then our Roadway Sensors also becomes the beneficiary. So we envision these core markets of ours really benefited from that market section.
Jeff Van Sinderen: Okay. And then just wanted to ask you a little bit about gross margin because I know you had an improved labor utilization rate in the quarter. Is there something more in terms of follow on to that? How should we think about gross margin? And then obviously you’ve got a few more quarters of investment in iPerform, but just trying to get a sense maybe if we look out further and think about the business, how should we think about gross margin as you start to leverage into 2015, 2016, and beyond?
Abbas Mohaddes: Sure, sure; excellent question. So our overarching strategy on margin is a first to improve upon and specifically we have the two pole approach to this, one and this is specifically discussed the Transportation Systems. One to increase the utilization of the labor and expandability on each individual, and the second part of this is to increase the overall labor as it relates to the magnitude of top consultant agreement. So for example couple of years ago, the average top consultant as a percentage of our overall revenue in systems was about 15% to 20%. That expanded due to some of these larger contracts in 511 and others that we have received still, year ago we were experiencing up to 35%, 40% top consultant had constant. So now, we envision going forward to expanding the labor, somewhat reducing that content to maybe 30% or perhaps below. Now, of course this all fluctuates from one quarter to the other, but our longer-term objective remains the same to that improved margins. Of course there are whole set of other secondary strategies to go after the more comfortable contracts and cut cost in variety of areas such as G&A and really leverage as we grow, we are not spending or expanding the G&A at the same that we are growing the revenues. So all of this and then of course is significant expected shot in arm from the iPerform expanded margin when that really gets into this biggest exhibition after we begin introducing some of these divisions to market. All together, I would envision to your point in upcoming years, two, three years, our margins expand significantly beyond what we enjoy today. So that is our strategy going forward overall.
Jeff Van Sinderen: Okay, that’s great. That’s really helpful. Thanks very much.
Abbas Mohaddes: I appreciate the question. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of William Myers with Miller Asset Management. Please go ahead, sir.
William Myers: Hi, thanks. I’m hoping you can give us a little insight on how you see iPerform revenues going forward? Do you have revenue targets? Do you have some sort of model you can share with us on what we might expect at least a general? Thanks.
Abbas Mohaddes: Yes, Mr. Myers, thank you for the question. Yes, we do have a detailed revenue model on behalf and initial three-year plan. And the magnitude that I shared with you is as follows that we envision that this year and part of next year enjoying some level of growth. But we would envision a significant growth in revenue would be coming in sometime about 12 to 18 months from now when we are concluding some of the major milestone that generate the kind and type of products that the commercial state is really expecting and specifically naming the predictive, the weather and traffic information on a national scale. And so that is all included in our business plan and we would envision that executing those according to plan and really sharing a specific milestones on quarterly basis with investors, so that we could track our progress and perhaps even top of the major partnerships that we would be forging. And the other thing I should mention is that starting a couple of quarters ago, we are reporting – segment reporting in our releases in other words, you could track for iPerform as specific expenditures and revenues. So that is another way for us to state with most touch without investors, I hope this help Mr. Myers.
William Myers: Yes, that was helpful and I appreciate you taking our question. Thanks.
Abbas Mohaddes: Thank you.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Mohaddes for his closing remarks. Please go ahead.
Abbas Mohaddes: For the remainder of the fiscal 2014, we’ve planned to stay focused on developing and delivering solutions to the areas of intelligence traffic management markets that are growing faster than the overall market. This will require further expansion of our sale, marketing and research and development team, especially within iPerform. The market is clearly in need of the intelligent traffic management products and solutions we provide. So we remain confident that investment we are making in these areas will continue to drive revenue growth and build shareholder value. We appreciate everyone support and thoughtful questions and we look forward to updating you again on our continuous progress.
Operator: This concludes today’s call. Thank you, ladies and gentlemen for joining us today for our presentation. You may now disconnect.